Operator: Good day, and welcome to the Hydro Q1 results conference call. Today's conference is being recorded. At this time, I would return the call over Mr. Stefan Solberg. Please go ahead, sir.
Stefan Solberg: Welcome to the Hydro's first quarter 2009 earnings presentation and conference call. My name is Stefan Solberg and I'm Head of Investor Relations in Hydro. We released our earnings today at 7.30 Central European Time. And the presentation material we will use on this call and the first quarter report is available on our Web site hydro.com. Today's presentation will be given by President and CEO, Svein Richard Brandtzaeg; and Chief Financial Officer, John Ottestad. After the presentation, there will be an opportunity to ask questions. Before we start, I would like to direct your attention to the cautionary notes in relation to forward-looking statements as we have provided in the presentation material. And with this short introduction, I'm pleased to handover to Svein Brandtzaeg, who will take us through the first part of the presentation.
Svein Richard Brandtzaeg: Thank you, Stefan. And the results for the first quarter of 2009 is reflecting the challenging environment. We have – and that 20% drop in the realized aluminium price versus fourth quarter in 2008. And of course, this is due to the steep reduction in demand of aluminium products. We have taken corrective measures and I will come back to that, both with regard to curtailment of primary capacity, and also with the cost reduction programs. Also, Qatalum is an important contract for us. It will be filled our discussed later in this presentation. But overall, I would say that Hydro was well positioned in this demanding environment. And I will come back to the further actions that we are focusing on these days. But first let us take a look at the market. The reduction in aluminium price from the fourth quarter of 2008 to the first quarter of 2009 is significant. And if you look at aluminium price one year ago it is about 50% reduction in the price. There are signs that the prices have stabilized over the last months, but it is too early to say if we have reached the outcome today. Due to the policy of routinely selling forward price, forward up to three months, the validity [ph] market prices experienced in the first quarter will hit our earnings in the second quarter. We should also remember that in addition to three months forward pricing there is also a four weeks average aluminium inventory in the metal products area. If you take a look at the sales volumes upstream, we have seen a total drop of 6% versus fourth quarter 2008 and the total drop since the first quarter of 2008 is 27%. The main area where we are struggling is the area which delivers in the automotive industry with the 45% drop in foundry alloys, materials have been hit in the reduction of demand in sheet ingot area not so extrusion ingots. This has resulted in increased production of standard ingots and we are now produced ingot flow metals [ph], we have sold standard ingots to China and also some ingots to LME. We see the same trend in the downstream end markets and 10% reduction in volumes, since the fourth quarter of 2008 and 26% drop since the first quarter 2008. So the severe downturn in the global economy continue to have a significant impact on demand in those aluminium market during the quarter. Demand for world product weakened further across market segments in Europe and continue to decline from our level in the U.S. – from low levels in the U.S. And in particular, the construction and transportation market segment remained weak. We saw a reduction in demand of extrusion in U.S. already in the third quarter of 2006. We saw some weakening in after the third quarter of 2007 in extrusion market in Europe. But now we see a weakening all over – and in all market and a total reduction of extrusion ingot sale has been between 27% and 32%. Building systems have been able to keep up for at least for a while, but now we will see that drop is affecting [ph] building system market. And we see the first quarter drop 10% decline compared to the fourth quarter of 2008, and 70% – 17% since the first quarter of 2008. The continued declining in demand for aluminium has led to increasing inventories and we now are passing 3.5 million tonnes of aluminium inventories in LME stocks, and the days inventory level is about the same as we had in the beginning of the '90s. With regard to China, we have seen that China responded quickly to the sharp slowdown and estimates of Chinese curtailments are in the magnitude of 3.5 million tonnes, and it seems that China has a target to take care of their own balance, and due to the fact that the Shanghai Future Exchange strengthened during the quarter and had the high metal price than LME. There has been incentives to import metal to China, so in the last months, we have that China has been the net import of aluminium. We have been curtailing capacity on primary alloy [ph] and Hydro, and in total we have planned and already stopped in total 29% of the total capacity in Hydro. This is partly permanent shutdown of capacity like the soda lime at the Karmoy plant in Norway. That will not be started up again, but we also have curtailed other production lines. Hydro's [ph] German smelter at, where the two anodes of 3000 tonnes capacity has been now curtailed down to a level, where we just are producing a few tonnes, a fair amount, and it will be stopped. The plan is to stop that plant in a few weeks time. We have curtailed 10% for the Slovakia plant, Slovalco. We have also taken out 50% of the Soral, a Norwegian Soral [ph] smelter. We have also taken out, all the way to take out 100,000 tonnes capacity at Sunndal plant, a Su 3 line at Sunndal smelter. So we are talking vertical shutdown and curtailment of both 500,000 tonnes yearly capacity in Hydro. If you look at announced capacity curtailment and what has now happened is that China has announced and curtailed about 3.5 million tonnes, which is a bit more than the rest of the world. So we are talking about 7 million tonnes curtailment, but this is still a level, which is not sufficient to create a balance between supply and demand. And if you include what has been already curtailed and which has been announced to be curtailed, we still are lacking about 2.5 to 3 million tonnes to be able to get a balance between supply and demand. End of, at least at the speed we see in end of the quarter one, 2008 – 2009, sorry. The price increases of commodities we saw in the end of 2008 has now turned, and we are seeing a reduction in prices, which will affect our cost structure for the coming months. But there is a time delay for several of these factors, so it will continually make an impact on our cost levels. And, for example, petrol coke has clearly been seen a reduction in prices that affects anode cost. And we've also seen dramatic reduction in caustic soda, which is a very important factor for alumina production. We have not benefited from these cost reductions in the first quarter to a large extent. So this will flow into the cost level in the coming months and we will have a full effect of this change in the input cost and prices in the end of 2009. If you look at cost position of Hydro, we are now taking out high cost capacity and gradually when we are starting up Qatalum next year; we are placing that with very low cost capacity. That means that we will have a significant improvement in our cost position and our competitive position during the next year. So if you look at the cost curve that is now based on average of Q1 2009. It is difficult extrapolate the results from the 2008 figures [ph], but still the conclusion will be the same. We are introducing one of the lowest cost smelters in 2009. And we are replacing that with the high cost capacity, so we will definitely have a substantial improvement in our competitive situation. That outlook for 2009 will, with limited visibility and indication of slowing inventory build-up be that aluminium prices will remain low. We are not expecting substantial help from the market. And we will expect that the market decline with up to 15 to 20% from 2008 will be the level. We have to live with in this year and that the Chinese consumption will be inline with 2008. The input cost as I mentioned will come through around, but that will mainly be seen in the second half of 2009. With regard to corrective actions, we have already taken out a substantial amount of the capacity upstream. We decided to generate to take out 50% of the Jamaica alumina refinery; and in March, we decided to stop the refinery completely and that will be in – will be done in May. So we are taking out 22% of the alumina refinery capacity we have in the system. The primary curtailments and the permanent shutdown that we have done adds up to 29% of the total capacity. Its 0.5 million tonne and we will continue now with yearly volume of 1.25 million tones, going forward. The remelt was the first production that we – first we reduced, and we sort of dropped in demand in the third quarter last year, and we are now taking out 500,000 tonnes annual capacity. This is a production that can easily be brought back to the market, should the sentiment change. We are also cutting the manning substantially, along the value chain and with a different actions we have taken out and what we are going to do, or to fill through [ph] in the second quarter, up to the fourth quarter this year. We will reduce the manning with 4,500 people in total that includes temporary workers, but also fixed manning in either organization. We indicated in the fourth quarter that the cash cost will go down with about 30% and this is also what we are seeing now. That will be the second half run rate in 2009 compared to the 2008 figures. This is due to production curtailment, the high cost smelters, but also the different actions we have taken with regard to cost cutting, de-manning, but also the fact that the input costs are going down in the second half. Cash preservation is on top of the agenda for the Corporate Management Board, and we are focusing very much on reduction of capital expenditures. During the years from 2008 to 2010, we are going to cut capital expenditure in half. On top of that, we have a strong focus on operating capital reductions. So far, we have released NOK 1.3 billion in the first quarter and further reductions are targeted. So then, I leave the way to the CFO, John Ottestad, and he will make a presentation of the financials and the performance.
John Ove Ottestad: Yes. Good afternoon. I'd repeat it brief. It's quite easy to understand the numbers, particularly for the ones who have followed this for some time. The results are weak, but easily understandable. You see on the next slide that we have turned negative this quarter, 493 million. And the main contributor or the main change from the previous quarter is the development in the metal unit, 476 negative in underlying EBIT. The only strong performer is the energy side, which have a strong quarter not as strong as the two previous quarters, but that is related to prices in the Norwegian power market, which was strong in the two previous quarters. Going into the next slide, you see the main reason for this; you see the reduction income coming well from lower volumes and from lower prices. You see that we have a correction between the reported IFRS EBIT of NOK 1.1 billion giving a reported EBIT of 1.6 billion approximately. I'll come back to that. That was 1.1 billion. The financial income is a peculiarity in this quarter as it was last quarter. The 1.5 billion is actually the same kind of effect that we described in the previous quarter where we had 2.5 billion negative effect from internal possessions on Europe. The background for it is that our European subsidiaries plays their excess Euro liquidity with the mother, and according to the IFRS rules that has to be booked again when we see a devaluation of the Euro against the Norwegian krone as we have seen for this quarter. The subsidiary keeping its accounts in Euros will not book a similar gain. But it all disappears in the consolidation of the accounts and has no effect on equity and no effect on cash, so it's a totally artificial number, so financial income expenses impact is zero. This gives a negative IFRS result of 126 and we have a tax charge even if we have a negative result that stems from the taxation of the Norwegian power business, where we have surtax, which is independent of the overall consolidated results of the group. The items excluded are outlined on the following slide, that this fact you know before and they were described in our report. It is non-cash items most of them and it's a movement between different quarters, between the underlying and the IFRS accounts related to unrealized gains and losses. There is one element, which I would point to which is of the different nature and that is the 305 million in rationalization charges and closure costs. We keep them out of underlying so that the underlying will give you an impression of our continued operating performance, but of course these are important cash outlays related to the rationalization and closure of our significant portion of our capacity. Moving on to the different business areas, Bauxite & Alumina, you see our main producer the Alunorte, we finally will be having 34% share there in the world's largest Alumina refinery. It turned out a loss for the quarter, reflecting the short decline in the LME price. The Alumina is priced to the LME as a percentage of LME with only one more line [ph]. So the negative development in the LME price fully comes into effect for the quarter. But the raw material for this production is indexed to the LME versus the first quarter of last year, a very significant line, which of course negatively impact the results. But even so, the results from Alunorte would have been very weak even if we didn't have this peculiarity. We also see the other activities mainly related to the Alpart refinery, but also some other activities on the alumina side also negative. We closed down – we are closing down the Alpart activities and it will be totally out of deduction by the end of the present quarter. Primary aluminium, we had an underlying EBIT of 123 million. The most important change for the quarter of course is the price development, where we have realized LME price of close to $2,000 per tonne, $650 per tonne down from the previous quarter. That effect amounts to 15 – sorry, NOK 1.5 billion. So it's a very significant effect on the accounts. It is partly counterbalanced by lower costs. We were able to bring down unit [ph] costs with some NOK 500 million and also reducing further fixed costs with an effect of 370 million [ph]. So we see that our cost initiatives are starting to have effect as early as in the first quarter. Moving onto the commercial is a significant negative number, 420 million. You should be aware though that since this is a business, which hedges all these activities both the LME exposure and the currency exposure that the EBIT only of course takes into account the LME exposure, as the currency exposure is accounted for under financial items. That implies that the negative number that we followed up internally on a performance basis is actually minus 100 million kroner. The currency effect was 300 million for the quarter. A note on that is that in the first quarter of last year we had a similar effect 300 million, but that's time positive. We are not satisfied with the negative earnings of course, but you should be aware that this business area is severely affected by the fact that we are taking out a significant portion of our short-term capacity curtailments in the commercial area. We are running at only half the capacity now than we had last year. This is the most flexible part of our operation, and this is where we can fast curtail capacity and also fast bring it into operation again. And of course, it's successful. The next three slides shows the downstream business areas. And I think there is one common denominator that is very weak market, down some 5% to 10% there from the previous very weak quarter. They are all running negative. For all of them, we also have the common denominator that we do not see much of an upturn, we see order intake continuing at more or less the same level that we experienced in the first quarter, so a very challenging area. You should be aware that a very significant portion of the cost reductions coming from manning reductions is taken out in this area. So the manning numbers that Svein Richard showed is – a good majority of that is related to this part of our business. The coming manning reductions over the next three quarters in those the primary business will be the main contributor and of course this reflects that the timing of taking out capacity is different in a smelting operation as compared to a downstream operation. Energy, very good results. One note on energy that is that reservoir levels in Norway both for the nation to the industry in total and for Norsk Hydro are extremely low meaning that we will have low production in the present quarter and that is further exacerbated by the fact that we have an outage in one of our power plant. It has to be out for repair for some six months maybe longer. And that will have a severity impact on the second quarter. So we will see a lower earnings than you can see in any of these bars, in the illustration for the second quarter of this year. The costs and the charges will be covered by insurance, but we expect that effect to be visible only in the subsequent quarters. So the first quarter will suffer. Moving on to the capital side, you will see on the cash flow development that we had a net consumption of cash of 1.1 billion from our operations for the quarter. We see that the working capital that we also have a cash charge on currency hedges. The loss was booked on the P&L in the fourth quarter, but the cash effect comes in this quarter. And we also have cash outlays related to tax payments for the tax of the year 2008. So all in all, those two effects consumes all the working capital freed up. So the 1.1 billion is very much representative for the negative cash coming from the ongoing operations. Investments 700 million, adding up to a total financing need of 1.8 billion – 1.9 billion and that has been grown partly to a reduction of cash 200 million and we are growing on some of our bank facilities and we also have a commercial paper facility in Norway, which provided the cash. We are very well positioned on the cash side. We established a bank – a new bank facility in the quarter of EUR 750 million that comes on top of our previous facility of US$1.7 billion. So in total, we have credit lines available close to 18 million – a certain NOK 18 billion. All of these credit lines are on favorable terms I would say, particularly in today's market environment and we have no financial covenants on these facilities. So the net cash position of the group 1.7, actually balanced this, the draw that we have on the commercial paper loan and the bank facility. And the remainder of our net interest bearing debt, which totaled 18 billion comes from pension provisions, which of course are not cash outlays directly and it comes also from increasing the debt over time in our 50% owned associated company Qatalum. The debt there increased 2 billion close to for the quarter 1.9 billion, reflecting that the financing of Qatalum for the quarter came from as drawing on the project financing, inside of Qatalum and there was no increase in equity in Qatalum for the quarter. So we have a strong financial position well-positioned to do what is needed in this industry and I'm happy to see that we are successful in our efforts, we are now able. And I think we are one of the quite few companies in the industry able to do that bringing down our inventories. And as you have seen we do that by adjusting our production to the demand coming from our customers. So much about finance, and then Svein Richard will round up.
Svein Richard Brandtzaeg: Operational performance continues to be, had the first priority also into the next quarter. The area of focusing and the reduction of operational cost and also targeting to adjust the capacity to the market, the manning reductions we are implementing and have been implemented so far and the cost improvement programs. We will show substantial improvements, we are also reducing the capital expenditures and reducing the operating capital, but additional measures will be implemented according to the market development. So what we have implemented so far is major part of what is needed, but if the market changes and will become even worse we are ready to implement even stronger medicine to adjust to the reality. With regard to the production system, we are as I mentioned previously at the level of 1.25 million tonnes of the curtailing the end capacity. We are now – have now started to curtail, and if you look into the future with Qatalum operating at full speed, and also what can be started at the later stage of the curtailed capacity, we will have a long-term capacity of 1.92 million tonnes of primary aluminium. The remelt capacity will be about 1 million tonnes and will the flexible part of remelt products market position and will be utilized to remelt the inventories that are now building up at LME. I visited Qatalum one week ago and was happy to see that this project is moving forward according to plan, and there are still about one quarter left of the project and today there are 19,000 workers on the site to finalize this enormous aluminium project. The investment estimate is kept at US$5.6 billion and we are ready to startup this aluminium plant in the year change between 2009 – 2010 and operational organization is now building up and preparing for the startup according to plan. And I'm also happy to see that this plant will be among the 10% best plants in the world, with regard to operational cost. As of March, the facility [ph] when I took over I had – have extended the Corporate Management Board to secure a more concentrated focus on operations and market. The movement also achieved a greater coordination throughout Hydro's integrated value chain; aluminium metal has been split into primary metal, having the responsibility for all Hydro's aluminium metal plants, primary cost process as well as for bauxite and alumina. And metal markets, which will be responsible for metal sales recycling, remelting and trading. Aluminium products, the organization I was responsible for before I took position as CEO has been split into whole products responsible for Hydro rolling mills and extruded products, which will include (inaudible) and building systems, extruded products, and also include automotive structures and precision tubing activities, which are today automotive. Energy will be affected by the change as solo as being moved to a well corporate strategy and business development organization. So from the second quarter this year, we will report according to this structure. Priorities, further in 2009 will be to execute the collective measures that we already have started and continue to reduce the cost and keep focused on margin management. We will have cash flow as first priority and also have a strong focus on counterparty risk, going forward. Production curtailments that have been announced will be executed and finalized in the second quarter. We have focus on cash and maintain the financial flexibility. And operation as I mentioned will have the first priority and will be in focus everyday going further into 2009. And now I'm happy to see that the Qatalum as I mentioned will improve our cost position move us down on the cost goal, and make sure that Hydro will be even more competitive aluminium company, going forward. So, thank you very much for your attention and we are ready for questions.
Operator: Thank you. (Operator instructions). We will take the first question from Rob Clifford from Deutsche Bank.
Rob Clifford – Deutsche Bank: Yes. Good afternoon. I was just wondering if you could just tell us a bit about your decision around curtailment and most specifically permanent closure. At what point do you decide something is going to be permanently closed, and I guess inline with that, what's happening with the Neuss smelter. My understanding was that the power contract was only due till 2010 anyway. Is that likely to be permanently closed, and what are your expectations for closure costs of that particular facility?
Svein Richard Brandtzaeg: So far the only smelter that was production line that we have decided to permanently shutdown is Soderberg line at Karmoy Plant. And Neuss has been curtailed or shutdown, and put into mud holes [ph] meaning that we have possibility to start up again, if the situation will be giving us a possibility to make money from that production. That means energy price has to come down and also the LME price has to go up accordingly. So, it is too early to say what will happen to the Neuss plant, but it is a challenge to restart the plant after it has been mud holed, but we are really shutting down this plant in a way which it gives us at least an option to startup again if there are attractive positions on energy and LME.
Rob Clifford – Deutsche Bank: Okay. I guess then to ask in another way. On your balance sheet are you carrying any permanent closure provisions at the moment?
Svein Richard Brandtzaeg: No. We are not carrying a permanent closure provisions. We have written down the value of the Neuss plant down to the value which is linked to foundry which will continue operating. But there are no charges related to permanent closure. Should there be a decision for a more permanent closure that will have a cost related to it.
Rob Clifford – Deutsche Bank: And I guess just finally then, is there – are the German government requirements on your operations of that facility?
Svein Richard Brandtzaeg: No, we are relating to our unions according to German law and existing agreements.
Rob Clifford – Deutsche Bank: Okay. Thank you.
Operator: Next question comes from Pascal Salewyn from Exane.
Pascal Salewyn – Exane: Yes. Good morning everyone. Just a quick question on primary aluminium realized price for Q1 '09, and when you reported your full year '08 results, you get it toward 85% of your volumes so that $1,872 per tonne, and your reported today realized aluminium price close to 2,000 (inaudible), so what's the remaining 50% based on? Please.
Svein Richard Brandtzaeg: The reason for this – with the external market point-of-view an expected high price is that there was actually a flaw in our disclosure for the fourth quarter. The average price that was disclosed was the average for the three last months of 2008, with the delay including the inventory affect is closer four months. So, that is the reason why we come out at the level of close to $2000 per tonne. We regret that flaw and my successor Jorgen Rostrup has solemnly guaranteed that it will never happen again.
Pascal Salewyn – Exane: You mean it was again a mistake on the reporting of fixed realized price, because it...?
Svein Richard Brandtzaeg: It was a flaw in the calculation. So, it was misrepresented in the first quarter.
Pascal Salewyn – Exane: And you mean it was so important that you should probably have highlighted this one. I mean we had contacts with investor relations etcetera and I was not aware of this mistake because it...?
Svein Richard Brandtzaeg: Again, we regret the difference. We hope for forgiveness based on the fact that we came out with a higher price. That is the only positive side of it.
Pascal Salewyn – Exane: Okay. Thank you.
Operator: (Operator instructions). We'll take the next question from Thomas Jandal from Carnegie. Please go ahead.
Thomas Jandal – Carnegie: I have two questions; first one is regarding the sales you have of primary to China. Can you give some kind of indication what kind of volumes you are talking about this, and also what kind of margins premium you're achieving on those volumes? And the second question is go for the working capital. You said that you reduced the working capital by some 1.3 billion in Q1, and expected to have further reductions going forward. Are you able to give any indication or what kind of reduction we are talking about in the Q2?
John Ove Ottestad: With regard to the sales to China there are minor volumes that we have sold into the Chinese market. So, this is really not the big issue. We have transferred the primary metals to our own remelters, P-1020 [ph] nuts to our remelters, and we have also then sold small volumes to LME. But its – we have exported some of it to China, but it is very little there really.
Svein Richard Brandtzaeg: With regard to the working capital reduction, I will draw your attention to the slide 18 in our presentation material. It is – the heading of it is focus on preserving cash showing a graph where the metal inventories have increased from – down to 89% by the end of the first quarter compared to the end of the fourth quarter, and indicating a further decrease through the second half of the year. That kind of slope is an indication of the continued reduction in working capital. So, you could say that maybe we'll do 1/3 of the reduction, that the target for the year has being achieved in the first quarter.
Thomas Jandal – Carnegie: Okay, so that means that you won't have the same pace in the second quarter, if Asians [ph] have a same pace in the second-half then?
Svein Richard Brandtzaeg: We are rapid, taking proactive actions. We have taken out let's say one-third, but you shouldn't forget that there is two-thirds to come.
Thomas Jandal – Carnegie: Okay. Thank you very much.
Operator: (Operator instructions). As there are no further questions I will turn the call back over to your host for any additional or closing remarks.
Stefan Solberg: Okay. Thank you very much for your attention. We are ready to answer more questions in the second quarter and look forward to talk to you then. Thank you very much.
Operator: Thank you. That would conclude today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.